Operator: Good day, and thank you for standing by. Welcome to the Newtek Business Services Corp. Third Quarter 2021, earnings conference call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question and answer session. To ask a question during the session, . I would now like to hand the conference over to the speaker today, Mr. Barry Sloane, President and CEO of Newtek Business Services Corp. Sir, please go ahead.
Barry Sloane: Thank you, operator. Good morning, everybody, and welcome to our third quarter '21, financial results conference call. I would also like everyone to welcome Nick Leger, our Chief Accounting Officer that will assist me in the presentation today. I would like to point everybody to our PowerPoint presentations that are all on our website. Newtek One, newtekone.com, goes to the Investor Relations section, events and presentations.  There are PowerPoint presentations for today, which is the third quarter 2021, financial results conference call. We also have a presentation, introducing the Newtek One dashboard, which we'll talk about. I'd also like to point out, we may have some new investor group on the conference call that has an interest in banks.  We obviously announced over 90 days ago the acquisition subject to a proxy vote and regulatory approval of National Bank of New York City. We might have some new investors on the call. If those investors are interested in seeing information previously distributed to the investment community on what the bank might look like, there are presentations on the website for mortgage second, fifth, and tenth.  We're proud to announce our results today. We think we had a terrific quarter. A lot of the results that you're going to be seeing, really a representative of the Company's ability to apply technology to financial and business services solutions. We've got some terrific key performance indicators and metrics that are dedicated to demonstrate that our business is growing, is well-positioned for the fourth quarter and beyond into 2022.  I'd now like to bring everyone's attention to the PowerPoint presentation that is on our Investor Relations section regarding today's particular call. On Slide number 1, please note the forward-looking statement disclaimer that is there. We appreciate everyone taking the opportunity to read and review that. Moving forward to Slide Number 2, we historically had proven shareholder value creation, with a track record of growth and returns. Using Friday's close, we had a year-to-date return of 73.3% through November 5 from January 1; the 1-year return %105, 3-year 124%, 5-year 264%, 10-year, over 1162%.  Obviously, we've historically been able to, in addition to paying dividends while we were BDC, get tremendous capital gains for the marketplace. And that's been based upon our ability to grow revenues and earnings. I believe that we feel very good about the third quarter, good about the fourth quarter coming up, as well as the projected dividend for Q1 of 2022, that we'll chat about today.  Once again, important to note, we do believe and anticipate that we'll be able to continue this type of performance. Whether we're in a BDC form, or another form, we do believe that the value will be given out to shareholders through, dividends and stock price appreciation if we continue to perform, as well as we've done historically. Slide number 3, important to note that, companies all across the globe and the U.S., are coming through the pandemic.  And obviously, a lot of our comparisons are a little murky with respect to pre -pandemic results versus pandemic results, versus post-pandemic, which we think we're in the period now or hope we're in that period now.  We've clearly emerged from the pandemic firing on all cylinders using many levers for the business model, whether that's gain on sale from the government guaranteed portions of 7(a), servicing income, spread income or from the SBA 7(a) portfolio which was at a record net interest income for the quarter which we're excited about. 504 loans, non-conforming loans, payment processing, tech solutions.  Many, many levers we have in Newtek Business Service Corp. to be able to provide dividends and earnings to our shareholders. In addition, throughout the calendar year we've continued to invest in our business model with technology and human labor. We've increased our lending portfolio Company, and NSBF, Newtek Small Business Finance headcount by 52 individuals, 27.5% increase.  We do believe once again, we're extremely well-positioned. We want to give some cautionary note to various comparisons. We went -- got to great lengths in this particular document and discussion today, particularly when looking at lending to go back to 2019. 2019 is pre -pandemic. 2019 won't have the noise of the PPP income or loan originations.  And we've also believe that, what we've done in the pandemic is indicative of what the Company, is capable of doing when unexpected situations come up, whether negative or positive. We obviously were able to shift quickly, hire new people, put a new technology, and put a new processes and procedures, which enabled us to be able to process PPP loans for our partner, the SBA and for the business community that we serve, each and every day.  Slide number 4 talks about some of the SBA 7A lending highlights. We talk about core lending, we're talking about SBA 7A 504, and our non-conforming business away from PPP. Which that at this point in time is behind us from an income generation standpoint, we're obviously still servicing PPP loans to get the forgiveness for our clients.  But for the most part, it's important to note as you're evaluating Newtek as an investment opportunity, the core lending business, the trajectory, the growth is what everybody should be focusing on. Looking at the second bullet on Slide Number 4, Newtek Small Business Finance funded a $163 million of 7(a) loans, 3 months ended September 30, 2021, that is a 43% increase over the a $114 million of 7(a) loans, for the 3 months funded September 30, 2019, pre -pandemic. When you look at a 9 month number, it's $362 million loans versus $334 million, an 8.3% increase. Important to note on the fourth bullet, we had a record $102 million of SBA 7(a) loans in October, which is unusual for us because we do typically fund most of our loans and close them in the second and third months of a quarter. We're very proud that we've been able to flatness that. We had a great October.  When we say there are approved pending closings, it means that we've given a commitment letters to the borrower. They usually come in around 90% plus or minus close rate from there on funding rate, I should say. But on a $2 million of 7(a) loans in a month is spectacular.  And I give the management team, the technology team has provided us these enhanced technological solutions, Some of them which we could chat about today, whether it's getting low assemblers, to have calendar invites from borrowers, speeding up processes from a technological data moving perspective from assembly to underwriting to credit memo to committee to closing.  We thought a tremendous drive and making the Company more efficient on the other KPIs we'll talk about today to demonstrate those particular efficiencies. We've increased the lower end of our 2021 7(a) funding guidance to 560 from 550 to 600 million, for the full calendar year. Obviously, in this particular calendar year, we funded $1.9 billion of PPP loans.  I think it's important to note that, while we funded and believe we'll get to a record number of 7A loans, in any given year for Newtek. We also funded $1.9 billion of PPP loans with 26,500 customers. Now, I realize that many of us are embedded in the financials. But operationally you could see, we really been working on all cylinders. We're significantly more operationally efficient, and we're deploying those resources into core lending, which in my opinion, we're trends at great growth up future for our business. Slide number 5, it's sort of a precursor to slides going forward. Just talking about growth, how we're well-positioned. Once again, we're going to discuss our pipeline being strong, technology story being strong, and growth being strong.  Slide number 6 is indicative of the type of progress that we've made. Looking at the pipeline in calendar year ended September 30, 2021, 2020, and 2019, using a 2019 pre -pandemic comparison is being most important, particularly with notice on approved pending closing $160 million at the end of September. We had a $100 million in October. We look forward to a very good fourth quarter.  I think it's also important to note, that we've had significant growth in our SBA 504 business, and our non-conforming conventional business. Moving on a little bit slower, with a little bit more caution, but still an important part of our future growth story at Newtek. Slide number 7, important to note that, we feed off of their technology; the new tracker referral system. We've been using this system for 18 years.  This makes us branchless broker list, BDO list, and bankroll list. Really using technology to reduce what we would call significant amount of real estate, and human labor interaction with a borrower that can really be, replaced more efficient and more accurate through the utilization of technology to the point where loan referrals received for the quarter 72,000 versus 12,600 for the same period in 2019.  Looking at the 9-month run-rate, we look at 355,000 of loan referrals for the 9 months versus 41,000 for the same period in 2019. From a unit perspective, we closed 214 loan units in the recent quarter ended Sept 30, 2021, that's versus 149 units in 2019. You're looking at 30% to 35% higher with respect to efficiencies.  We obviously have a very large database of existing clients that pay us, as well as clients and the database over $1.5 million businesses have given us referral opportunities through one of the five particular product areas. We will spend time talking today toward the end of our presentation about our cross-selling efforts as well as a separate PowerPoint presentation detailing the Newtek One Dashboard.  I'd say this will get rolled out regardless of the bank acquisition. Not to say that the bank acquisition roll out will not happen, it's more of a point that the dashboard from a product perspective is something that will be done with or without us as a depository. We're excited about the dashboard.  We'll talk about its capability, particularly using the dashboard subject to shareholder vote, subject to regulatory approval as a bank, very exciting product, very competitive, and really puts us in a unique position, to what we will be chatting about that later on in the presentation. To wrap up this slide, once again important to note, we're 18 years’ worth of history and loan assembly underwriting, and using our technological expertise.  We believe we are a leader in the area of small business lending. Materially improved our technological assets and resources, to create operational efficiencies in all these particular areas. What these efficiencies do, is they improve the client experience. They enable us to process loans better, quicker, and with less effort, which makes it a much easier employee experience, and most importantly, makes it more efficient for bottom-line earnings.  Slide number 8, I do get asked quite frequently, what's happening in the small and medium-sized business community in your market. The SBA defines small and medium-sized businesses as 30 million individual unique business owners in the U.S. I have to say that from a macro perspective, this particular demographic and market segment, as we're going into the pandemic, people clearly we're concerned about it.  We are excited about the partnership that we have with the SBA as a non-bank lender and one of the leaders in all SBA lending. We feel that really that partnership creates a bit of an embedded infrastructure in us. And when you look at what the SBA has done, for all businesses across the U.S. in terms of providing support, it's pretty remarkable.  A couple of quick data points, brokerage record for traditional lending, $44.8 billion in funding in 2021 fiscal year. That's an addition to the trillion dollars of other COVID -related rescue programs. On the 78 program accounted for $36.5 billion. The SBA also funded $8.2 billion through its 504 program.  Important to note, the SBA still has tens of billions of dollars left in its Economic Injury Disaster Loan Program, known as EIDL, to have grand programs outstanding and they've already funded $3.8 billion. With respect to the EIDL program being is currently has approved more than $283 billion. Small business owners can currently apply for additional idle loans, with it was original cap of $500,000 now goes over $2 million.  We've talked about how we are active in helping our clients, through the use of these programs. Slide number 9 depicts our lending staff. In addition to growing headcount, we've significantly improved the quality, particularly at the managerial level that worked very hard. People like Justin Gavin, Tony Zara, Virginia Wiley and others in our organization really hiring, training, bringing people into the organization that want to help build the business.  Not the new to business that they've done the last 5 or 10 or 15 years somewhere else. I want to come in and use our technology, use our thought process, use our way of providing financial and business solutions to our customer base in a more cleaner, faster and more efficient way. Building businesses are what we're looking for in our staff.  So in addition to growing the FTE count, we've clearly improved the quality of our staff, both from the rank and file and managerial perspective. Slide Number 10 is a focus on the third quarter of financial highlights, there's quite a bit of PPP noise in some of these numbers. I want to point that the important aspect for us which we always look at is adjusted NII for those that are new to the Newtek story and they're trying to figure out what adjusted means.  The adjustment of NII, which is a non-GAAP term, as the gain on sale we get from SBA lending, which has been a reoccurring event for this Company for 18 or 19 years. Although it's not considered GAAP for BDC, the market has begun to accept that. Our adjusted NII came in at $0.56 a share, thus an increase of 1,300% over the same quarter last year as we're reaching up our 7(a) program.  Our debt-to-equity ratio of 1.37 when you take out the broker receivable at the end of the quarter, 1.24. Our net asset value grew to $16.23 from $15.45. It was reduced a little bit as we begin to pay out the cash that we received from prior earnings. Mind you, we've generated about $2.21 of adjusted  through the first three quarters, and have been paying that dividend out.  Sequentially, but obviously we've got a big dividend payout coming in queue number four which could have an effect holding everything else constant with respect to NAV. Slide number 11, the 9-month picture, once again, I move right to the adjusted NII of $2.81 a share, that's 74.5% increase. Once again, as we reaching up to 78 portfolio, in this particular calendar year, we had the benefit of PPP plus 7(a).  We had that last year but we had it for a smaller portion. As the pipeline is growing, and the portfolio is growing and we're getting back into our core lending. All of that will wind up replacing, a significant portion of the PPP income. So we're excited about our future, and we were able to forecast Q1 dividend growth, which we'll talk about. Maybe that will be helpful to those that are looking for a more, full picture for calendar year 2022. Slide number 13, from a metric standpoint, we as a BDC are always talking about our dividend. The Company has declared dividends for the full-year of $3.15. That represents a 53.7% increase over those paid in 2020. We've also forecasted a first-quarter 2022 dividend of $0.65 per share. Now, looking at that $0.65 per share dividend that we have forecasted for the first quarter of 2022.  Important to note, pre -pandemic 2019, first-quarter $0.40. In 2020, somewhat pre -pandemic, the pandemic kind of came in the month of March, $0.44. So you could see that we're growing our dividends on a core basis. For those of new investors and follow our story, you typically know our second half is stronger than the first, second half, even if you straight line at $0.65 across the four quarters, 65 times 4, represents about $2.60.  If you start to play around with the math of looking at that first-half represents 40% of the full year and 45%, you wind up with numbers that are a little shy of $3, a little over $3, that's on adjusted  assuming  100% of dividend out. Full year of 7(a) -- funding forecast, we said 560 to 600 that's for 2021 of 7(a).  The 504 funding, 125 to 150 for the full year that's we're excited about the growth in the 504 business, we'll talk about that a little bit more. And with respect to the non-conforming conventional loans, we look forward and anticipate, that will bring us securitization of our non-conforming product in the fourth quarter of 2021.  Moving to Slide number 14 dividend declared for Q4, payable to shareholders of record, as of December 2021. We've mentioned that, which payments in the fourth-quarter dividend a 123% increase, over the prior year-end quarter. We talked about the $0.65 dividend. I think it's important to note, in looking at our dividends earnings forecast for this year.  The portfolio of companies, I will point out three in particular: Newtek Technology Solutions, Newtek Merchant Solutions, and Newtek Business Lending, which are the three entities that contribute material amounts of income to the businesses. Did not distribute income to the BDC for the first 3 quarters of 2021, at $750,000. Each one of these portfolio companies has made elections to not distribute that income and that cash.  That cash can be used for other things. It can be used for lending money to the lender, so it doesn't have to sell stock. It can be used for lending money to the lender to buyback publicly traded bonds and debt. It could also be used for acquisitions that are interesting out there. So I think it's important to note, and I realize this put a little bit of a burden on the analyst community.  First three quarters of this year, there has been significant earnings generated from those businesses, which we'll talk about later on in the presentation, have been held both the cash and the earnings at the portfolio companies in those portfolio companies' best interests. Slide number 15, adjusted NII for forecasting $3.40. I want to point out and it's important to note, we recently put out a press release on the $3.40 adjusted NII forecast.  We have 4 analysts in the community, one forecasting $3.40, one $3.36, one $3.36, and one at $3.58. The $3.58, based upon our projections and forecasts, tends to be an anomaly. Obviously, everybody's going to make their own decisions, investors, analysts, etc. But it has tended to mess up the consensus numbers out there, which it is what it is.  But we would like the investment community to follow our forecasts. We like to believe that these are things that can be relied upon. Also important to note, from a dividend and yielding perspective, there has been a tremendous improvement in the BDC segment over the course of the last year. According to a recent KBW Research piece put out on 11-15, it looks like last 12 months trailing, about 8.6% on the date of the research piece, which was 10-31, 7.9%.  And those refer the externally managed BDCs. The internally managed BDC s of which 1 are 6, 6.6% yield. And that's last 12 months trailing. So when you equate that to our expected dividends for next year, we think we look like an interesting investment opportunities, whether or BC, or we convert into a different form, which we do look forward to. Slide Number 17, a slide on lowering the cost of capital.  Important to note, the Company has the ability to call existing  bond debt. The , the  due 2024 have been callable as of August 2021 without any form of call lockout or prepayment difference. The N-E-W-T-Z is the 5.5% notes due 2026, are callable after February. There's made whole provisions for 12 months after that, which diminish through the course of the year, to where they're fully callable year after the fact.  The Company intends to use securitizations, cash on its Balance Sheet, which at this point in time is significant material, and other capital markets tools to refinance this expense of debt at whole apart. I think this is important for our going forward story, because we do look forward to reducing, expensive high cost of debt, whether as a BDC or in a bank holding Company structure.  Slide number 18, a slide that many of you are familiar with. Once again, important to point out at the SBA's fiscal year ending September. Third largest SBA lender by lending volume, average loan size of the uninsured risk-based piece on our books, 161,000 where floating rate with 2 and 3 quarter percent coupon, which currently would be a 6% yield.  Our net interest margins and income generated from net portfolio Company has never been as high as it has been in the third quarter. We're proud that reoccurring income, so that will be beneficial to us in years to come. Slide number 19 talks about the net premium trends. I want to point out that in the fourth quarter we've got about half our portfolio covered with 90% guaranteed loans, and those are trading at higher dollar prices.  We also had $20.5 million of guaranteed portions on our books at the end of September 30 that was available for sale. Slide number 20, tells about the seasoning of our portfolio. With recent loan volumes, this probably will start to diminish and get a little bit more newer but it's important to note that the existing portfolio clearly is in the belly of what we refer to as the default curve. Slide number 21 shows our currency rate.  We're pleased that the currency rate actually got little bit better. Through September, we aggressively work our portfolio, and we'll talk about that shortly. I think that's better, improved from $630, 2021 to $930, 2021. Slide number 22, we talk about loan servicing metrics and functionality.  We have 60 full-time employees as of September 30, 2021 servicing loans, working with our borrowers, improving their position in life through a variety of different solutions that we offer. Whether it's a better way to process payments, a better way to ensure themselves, a better way to manage their technology, and better way to have a website, that's more interactive, a better way to process payroll, manage human resources, whatever it might be.  In addition to that, we have used the tools that are available in the marketplace to enhance the creditworthiness of our borrowers. Obviously, the PPP financing, which is now over. Our borrowers also experienced the Section 11112 payments from the CARES Act, which ended September 27. We are also securing EIDL loans for our borrowers when needed, and employee retention credit program, which now can be used in addition to the PPP funding.  We aggressively work with our customers to make sure that they meet all available tools to do well in the market. And it's important to note, once again, in times like these to be partners with the government in various different activities, particularly in our 7(a) lending. Slide Number 23, 24, for our new clients, show the income and cash effects of SBA 7(a) lending. Let's quickly swing into our portfolio Company review.  Our SBA 504 program, which we're very proud of, we funded or close to a $100 million of 504 loans through the 9 months of this calendar year, a 359% increase over the same period in 20, a 280% increase over the same period in 2019. We're 31 loans closed, for $92 million of total financing. I think it's also important to note that, during this period of time, we sold 41.5 million of the first liens.  The second liens are taken out by the government in the form of SBA expenditures, which represented about 18 units, and about $1.4 million of gain on sale. We have plenty of capacity here with our funding facility from Deutsche Bank and Capital One Bank. And we're forecasting on it in $25 million to a $150 million of final four loans for the full year of 2020. Which at the midpoint would be a 57.7% increase.  Slide number 27 and 28 demonstrate the high return on equity that you get from a 504 loan. So when people look at our returns in this BDC, how do you generate such high returns as the BDC? Well the important aspect of that is, we have these lending operating businesses under the BDC umbrella.  They qualify for good BDC assets could be you see, income. And these activities generated significantly higher returns on equity than buying loans, levering them, which is basically with most BDCs do. So we're proud of our business, we're proud of our model. That doesn't include the operating businesses of the portfolio companies in payments solutions in Newtek Business Lending at 504 business, as well as the Newtek Merchant Solutions, our payment processing business.  Slide number 29, our conventional loan portfolio. As we mentioned, we look forward to a securitization coming up in the fourth quarter. We've put for balance of $87 million, all of which are current payments, 15 loans that we've had 2 or 3 payoff. Most of these loans are pre -pandemic. We've only had 2 loans that we funded in recent times. Moving forward to Slide number 31.  Our payment processing business, important business for us. We've been in this business since 2002. We have an enterprise value of $121 million on this business, that's obviously including debt and excess cash to give us that total enterprise value. We're forecasting EBITDA $14 million for this business this year. We experienced the 14.3% increase in monthly sales volume for the third quarter.  Obviously, that's rebounding from the pandemic. So we look forward to increasing and better growth numbers in calendar year 2022 as we rebound. COVID clearly had an impact on our mobile money business where we've got close to 800 or 900 cab drivers at Nork (ph) they represent about $1.3 million of gross profit margin in a good year, that's down. Probably, by 60 to 70%.  As the airport opens up, particularly international travel, we expect a nice rebound from that particular business. Slide Number 33, we talked about our payment systems, POS on Cloud, without getting too much into the weeds here because it's could be a longer conversation. And we have a whole a webpage and website devoted to Newtek payment systems.com. Please go take a look at it.  Important to note, this isn't just a  that takes a payment, it's a  that makes the business more efficient. It makes it more efficient in processing payroll, processing payments, integrating with e-commerce, integrated with food delivery service, integrating with general ledger accounting software’s, dumping money from our 401-K, very valuable system. We look forward to growing this side of the business as well.  Slide number 34 in our technology portfolio area, we're proud to report that we've bumped up our 2021 EBITDA forecast about $6.5 million. If you go back to 2020 when these businesses were broken out individually, probably looking at around $3.5 million of EBITDA combined. We've had tremendous growth in this calendar year. We're excited about the business.  I would suggest for those people looking to see what we do in this area, please go to our website, newtektechnologysolutions.com. I'd like to point out that the businesses are primarily infrastructure as a service, desktop as a service, it has recovery as a service, software security as a service, secure e-mail, hybrid cloud, public cloud, private cloud. Very important business segment for us.  And we will be an important segment as we look to roll, potentially subject to shareholder vote and regulatory approval, to be able to provide data storage solutions in a banking environment for our customers. We currently do that today in lending across many of our businesses. That business has approximately 17,000 paying customers.  Slide Number 37, to round out the full suite, Newtek Payroll and Benefit Solutions, Newtek Insurance Solutions, we're excited about both of these businesses and we are confident that they'll fit very well into that Newtek One Dashboard. Let us go to the PowerPoint on our website entitled, The Newtek One Dashboard. I've been asked a lot of questions about the dashboard. I've been asked, gee, is this special? What makes a difference in other dashboard? What makes it unique? I quickly want to go through a couple of screenshots. These are obviously screenshots that at the moment are non-operational. We look forward to the dashboard being operational, hopefully in Q2 of 2022. When you go to Slide number 39, this would be the primary interface on the dashboard.  What it enables one to do is to see, all the things that Newtek currently does for its customers, merged into one dashboard, one single sign-on. The Newtek 1 dashboard is the one dashboard for all your business needs. The purpose of giving this dashboard, to perspectively a banking customer or a Newtek BDC customer is to give them the ability to have all their critical business functions in one place.  First of all, to sign up for the function, as well as to see the function, see the array, transact, it really does many different things which I'll talk about in the conclusion of the presentation. Well, if we do ultimately position ourselves as a bank holding Company, you'll be able to see all the different account balances, lending balances, merchant processing information which we'll talk about in these forward slides.  Looking at the efficiency of the website from an e-commerce solution, being able to make payroll from the dashboard, manage workman's comp, health insurance, have HR tools on the dashboard, be able to purchase all the insurance needs from workman's comp to a , to cyber liability.  And importantly, storing all other corporate documents, tax returns, articles of incorporation, insurance policies, leasing agreements, all those important corporate documents that are held elsewhere in multiple places, one single sign. And we're very excited about the dashboard going forward. I'd like to turn everyone's attention to what is Slide number 3 that would give you just a quick glimpse of the depository nature.  This obviously will -- I'll use the word ultimately be available in mobile, in the event that we're a bank or obviously online. It will be something that could be used for viewing balances, as well as moving money around, bill pay and all the statements will be stored in the dashboard. Slide number 4 is a view of a loan that client may have with us.  You take a look at the payments upcoming. Take a look at the statements, the interest rates, the due dates, whatever information is needed will be on that lending dashboard. Slide number 5, the Merchant Solutions section, I've got a few slides here. For those businesses that are taking payments, whether through credit card or ACH, whether it's Visa management, Discover, American Express, they'll be able to see the breakdown of all the different card techs.  There will be able to see the different payment dates per transaction. They will be able to see all the statements. They'll be able to look at how their sales are growing, from month-to-month, quarter-to-quarter, year-over-year. Going to Slide number 6, they'll actually be able to take a look at batches of payment processing information, and be able to drill in and review those particular batches.  Slide Number 7, they'll actually be able to drill down and look at the actual payments for the credit card, and see all of those payments going directly into their account. Important to note, our solutions are intended and we anticipate and expect that all would be able to be integrated into account in GLs like QuickBooks, Xero, etc.  Slide number 8, Newtek payroll solutions. Be able to make payroll directly from the dashboard, see all payroll information, whether that's taxes that are escrowed, taxes due that are coming up, employee salary, be able to sign off on payroll right from dashboard, be able to purchase payroll from Newtek.  I think it's important to note as clients come to us for a bank for depositary services, we can also offer them the payroll solution right on the dash board. We'll be able to margin pool across all these different items. Tech solutions, this will give our clients real-time data to their website. How effective is that website?  By the way, these are all things we do today. So this isn't fairy tale, this isn't something we're trying to do in the future. Every solution we talked about, we currently do today. So you will be able to go to our Dashboard, look at how many people visited the site yesterday, how many of them were unique visitors? The average time on the site, the balance rate, the activity from organic search, from SEO, tremendous information coming in from the dashboard. And the storage component, looking at all the important documents that one might have, articles of incorporation, operating agreement, workman's comp policy, general liability, listing of all buy-sell agreement, real estate leases, etc. Look, when we talk about the dashboard and the importance of it to the Company, whether it's a BDC or as a bank.  The Newtek dashboard harnesses the power of Newtek and it gives you the ability to monitor and visualize your business on real-time in one place. It's also the one dashboard that's going to help you track your key performance indicators, of course: banking, lending, processing, bill pay, payroll, website, accounting, and other important information. The dashboard will also be customizable. We look to add things like tax, digital bookkeeping, at some point in time. It also gives us the ability to bring in third-party provider information, maybe you got bank accounts or business elsewhere. I've had people say, gee, I've seen this in other places, this isn't unique. I beg to differ.  You look at entities like Yodlee or Finicity, they are aggregators of data, but it's not their data. In fact, they're solution, it is pulling data and putting it into one place. We have something that's well beyond that. It will be a tool for a business owner that doesn't really want to go away from us because of the value-add that we give them. Looking at the center of the NewtekOne Dashboard as I said, these are services that are currently provided by Newtek, directly by Newtek. It gives you the ability to transact directly from a dashboard and that dashboard is customizable. Moving forward to Slide number 40, Investment Summary.  Look, we've consistently outperformed the Russell and the S&P over a decade, not an easy thing to do in all different kinds of markets. If you are looking at us for our lending talent and expertise, we've been doing this over 19 years through 2 of the worst credit moments, the '08, '09 credit crisis. Are a non-bank lender and the current pandemic, which was extremely challenging. Our interests are very much aligned with shareholders. Managing the board on 5.1% of outstanding shares. We do what's in the shareholders’ best interest, our interest are aligned. We demonstrated an ability to succeed in all different markets.  Most importantly, the Company thesis is predicated partners, great segment of the market that's very favorable both in Washington on Main Street, independent business owners, small and medium-size businesses.  We've used technology as a solutions provider to be a disruptor, in our industry demographic, whether it's a BDC or another corporate structure, and we will always be an innovator. That's one thing Newtek has been. We've always been an innovator, which really underscores the reason why we've been able to perform the way we have. I appreciate your time today. I'd like to turn the financial review over to Nick Leger, Chief Accounting Officer.
Nicholas Leger: Thank you, Barry. And good morning, everyone. You can find a summary of our third quarter 2021 results on Slide 42, as well as a reconciliation of our adjusted net investment income or adjusted NII on Slide 44, and 45. For the third quarter of 2021, we had a net investment loss of $6.7 million or $0.30 per share, as compared to a net investment income of $1.7 million or $0.08 per share in the third quarter of 2020.  Please note that income rates, the PPP is included in investment income. Adjusted NII, which is the -- you find on Slide 43 was $12.6 million or $0.56 per share in the third quarter of 2021, as compared to $900,000 or $0.04 per share in third quarter 2020. Focusing on third quarter 2021 highlights, we recognized $12.4 million in total investment income, which is a 16.7% decrease over the third quarter of 2020's total investment income of $14.9 million.  Interest income related to the fees from the PPP was the primary driver for the decrease. We recognized $269,000 of income related to the origination of PPP loans of $6.4 million of PPP loan originations during third quarter 2021, as compared to $3.1 million of income recognized in the third quarter of 2020 on $82.5 million of PPP Loan originations.  The  portfolio companies in the third quarter of 2021 as compared to 2.2 million in the third quarter of 2020. Moving on to expenses, total expenses increased by $5.8 million quarter-over-quarter, or a 43.7% increase, mainly driven by an increase in SBA 7(a) loan referral fees, through the higher loan origination volume, also interest-related costs and other loan administrative expenses. Realized gains recognized on the sale of the guaranteed portions of SBA loans sold during the third quarter, totaled $22.4 million as compared to $1.6 million from the same quarter in 2020. On the third quarter of 2021, NSBS sold 205 loans for $148 million at an average premium of 13.04% as compared to 16 loans sold on third quarter 2020 for $11.8 million at an average premium of 11.79% the increase in realized gains is attributable to higher SBA loan origination volumes.  In the third quarter 2021 combined with higher average premium prices when compared to the third quarter of 2020. As I mentioned earlier, income related to the PPP is included in investment income, not in realized gains. Moving on to realize losses, on the SBA non-affiliate investments for the third quarter of 2021 was $3.2 million as compared to $2.4 million in the third quarter of 2020.  Overall, our operating results for the third quarter of 2021 resulting in a net increase and net assets of $16.6 million or $0.74 per share. And we ended the quarter with NAV per share of $16.23. I would now like to turn the call back over to Barry.
Barry Sloane: Thank you, Nick. Operator, we'd like to open up the call to Q&A.
Operator: Thank you, sir. At this time, I would like to take any questions you might have for us today. . We have our first question from the line of Richard Molinsky from Max ventures. Your line is now open.
Richard Molinsky: Congratulations. Congratulations on continuing to execute. I just have a couple of quick questions. Is there any plan for any distribution of dividends from the portfolio companies? This is the first question. The second one, what is the earliest time that possibly this acquisition, with National Bank of New York City could go through, what's the earliest? When's the latest date? I think that would be a major benefit based on your track record, getting that deal done.
Barry Sloane: Richard, on the second question, we originally back in August, give an indication of 6 to 12 months. At this point, I believe that given the timetable, I think we're probably going to be closer to the 12 months and therefore -- and this is just a guess at this point. And I -- it's a total guess based upon integration of a proxy or both, discussions with regulators.  And obviously, we know that there are a lot of changes going on at the Federal Reserve, and the OCC right now. I think that you're looking at a third quarter would be the best guess for a 
Richard Molinsky: All right.
Barry Sloane: Regarding the dividends, what the portfolio companies do at the end of each quarter is make a decision in their best interests, whether or not to distribute dividend income up and best use of that. So the portfolio companies have been able to work with the BDC to provide funding of their generating quite a bit of cash on the projection for NMS this calendar year is $14 million, projection for NTS $6.5 million.  The projection for Newtek Business Lending. Note, those 2 numbers are EBITDA numbers. Newtek Business Lending is the lender out of say between $4 million or $5 million. The reasonable amount of income generated from those businesses and cash that it can basically provide to the BDC to land or perspectively use that cash to buyback debt. That's expensive, which is I guess a part of an overall plan that we disclosed today.  I think -- state that for the first 3 quarters, that's where we wound up and we'll see what happens next quarter. And those -- that cash net earnings can also be distributed at any point in time. They don't go away. In the BDC world, the portfolio companies have the opportunity to retain, for periods of time and then distribute.  We don't have that luxury at the BDC. I call it a luxury because it will benefit shareholders so they get a more full amount of the dividend. But given that we have $3.15 quite healthy dividend this year, on projected adjusted NII of $3.40, we think we've had a pretty good year so far.
Richard Molinsky: Yes, you have. Barry as always, thanks you so much. I appreciate the answer.
Barry Sloane: Thank you, Rich.
Richard Molinsky: Take care.
Operator: Thank you. Our next question is from the line of Mickey Schleien with Ladenburg. Please go ahead.
Mickey Schleien: Good morning, Barry. Hope everyone there is doing well. Barry, this year, lenders including Newtek have had a lot of positive trends providing tailwinds including things like the stronger economic growth in a very low default environment.  I'm thinking next year will be more challenging with forecast for lower growth and the  already announcing that they're going to end quantitative easing and potentially those start to tighten. I'd like to understand how you're thinking about those risks, in terms of managing new tax balance sheet next year.
Barry Sloane: It's an important question I think that what we're seeing and we just know it's a strange Company, country's split down the middle. We got tremendous loan growth needs, and you could see it from our pipeline, both in October. So there's plenty of businesses right now that have optimism, they're flush with cash. We don't see loan demand being weaker. Relative to interest rates and interest rate changes, we've been somewhat surprised.  We made a decision to hedge the 504 portion of our portfolio, which is a fixed component, and the non-conforming portion of our portfolio,  a fixed component. And I think that's worked out well for us. But even the last couple of days have been somewhat surprising with high PPI numbers, and rates still seem more because the government keeps buying bonds back and keeping rates low and providing liquidity.  So I think that we are in good shape for next year. $3.40 would be a lofty number, if we remain as a BDC for the full calendar year. But given the $0.65 rejection in Q1, I think we'll have a very good year for next year, particularly given where market clearing dividend yields are for most BDCs.  Looking at this as a BDC, if we do convert to a bank, obviously, the financial technology enable banks Weibo banks, the LendingClubs and SoFi, etc. Those are trading at different multiples and there's exciting opportunities there as well for us. Whichever way we go, we're excited about our future. And the small and medium-sized business market is very strong right now.
Mickey Schleien: Barry, do you think your demand profile for loans is a leading indicator and perhaps the market's just underestimating how strong the economy could be next year?
Barry Sloane: The market is underestimating the strength of the economy particularly with the amount of  dollars that are still out there. Other government stimulus, these are unprecedented numbers, and the Fed insistence on keeping interest rates low. So I think that the government interaction in the market, and assistance to consumers and individuals, will further propel the economy.
Mickey Schleien: All right. Thanks, Barry. Just a couple more questions. You mentioned the retained earnings at the controlled portfolio companies, to help them fund their growth. In your first quarter 2022 guidance for the dividend as a BDC, what have you assumed for capital retention in those controlled portfolio companies?
Barry Sloane: I appreciate the question. I can't give you that breakout at the moment.
Mickey Schleien: Okay. And my last question, if you could just remind us the restricted cash on the balance sheet, I think it has to do with PPP. Where is that cash going to go and when is it going to be used?
Barry Sloane: The cash on the balance sheet that falls into the restricted category is primarily from PPP loans that are basically for given money comes from the government. And then we distribute to the participation certificate holders, which say off balance sheet for us. So that money moves off our balance sheet.
Mickey Schleien: Over one -- what period of time?
Barry Sloane: Frequently.
Mickey Schleien: Okay. That's it for me this morning, Barry. Thank you very much.
Barry Sloane: Thank you, Mickey.
Operator: Thank you. Our next question is from the line of Matt Jaden with Raymond James. Please go ahead.
Matt Jaden: Hey, Barry, good morning. And I appreciate you taking my questions. First one, kind of following up on the bank holding Company conversion timing. Based on your earlier commentary, is it fair to expect that be the 2Q and 3Q dividends next year will be paid on a BDC structure?
Barry Sloane: I would think that if that holds, Q1 and Q2 are highly likely. That gets you to July 1. If the conversion occurred in July, August, or September, I don't want to forecast this, but there may or may not be additional dividends paid before the final conversion.
Matt Jaden: Got it. That's helpful. Another one for me maybe following up on the portfolio Company dividends. Would you expect any portfolio Company dividends ahead of the conversion or continue to retain capital?
Barry Sloane: I think that obviously that depends upon -- I would think that those will wind up being utilized in some way, shape, or form. To continue to fund loan growth, which is growing. To pay down on expensive baby bond debt. I think those targets are out there for the utilization of that capital.
Matt Jaden: Got it. Last one for me, maybe on the 78 funding’s levels. I know it's a little early. Any high-level color you can give on where you're expecting 2022 funding’s to settle out in relation to maybe 2019 or 2021 levels?
Barry Sloane: I think that we'll probably look at a lower end of the boundary of $700 million. We haven't given that out yet but I'm okay using $700 million at the low end of the boundary.
Matt Jaden: Got it. That's it for me. I appreciate the time this morning.
Barry Sloane: Thank you.
Operator: Thank you. The next one we have the line of Paul Johnson with KBW. Your line is now open.
Paul Johnson: Good morning, gentlemen. Thanks for taking my questions. My first question, you addressed the timing of the merger, which I appreciate but I was wondering if you have any other updates in terms of how conversations and meetings gone with regulators and how progress has been tracking along with the merger process, if you're able to provide any of that.
Barry Sloane: Yeah, that's a no, no. I speak like our president and I don't divulge conversations with  I couldn't do that. But I think that one could assume that we are on target and nothing has changed from recent conversations that we have -- that we've had with the public markets.
Paul Johnson: Got it. Okay. And then for the dashboard, the NewtekOne Dashboard, how far along are you with the launch of the product? Is that something that you're expecting to have ready to go and be launched kind of around the time of the closing of the merger or do you expect there to be a little bit more time and investment required to get that up and running?
Barry Sloane: There's no question that we will have the dashboard, and I'll use this word in some form, at the time of the closing of the transaction. We'd like to have the dashboard ahead of time. In some functional use prior to that, because we plan on using the dashboard, whether we're BDC or whether we're a bank.  So obviously you wouldn't have the depository component but, the value of the dashboard is to give the business owner a tool. We think that the bank issue makes it special. Because if you think about businesses, they're constantly moving money, wiring money,
Barry Sloane: Dealing with the banks sort of as core, so the bank makes the dashboard more relevant. But even without the bank, the dashboard would be a great tool for businesses. We hope to have it available in some form or not, maybe as early as the second quarter.
Paul Johnson: Okay, appreciate that. And one question on the expense side for this quarter. Salaries and benefits obviously came in quite a bit lower than the previous quarter. I would just kind of expect this, you guys have made a lot of hires expanding the Company in getting ready for potentially the bank merger in  to be making more hires as time goes on here.  Is that -- would you expect that to be an anomaly quarter and potentially run maybe higher 4 to 5 million or so similar to the previous quarters or do you see this quarter is kind of a potentially good .
Barry Sloane: I think we might see those expenses not job.
Paul Johnson: Okay. Understood. And then on the balance sheet, just curious. Where -- do you -- did you provide any level or maybe of where you're comfortable potentially running your leverage that to equity? I understand pro forma, you guys are around 1.2, but it looks like you're set up for a pretty active quarter of this quarter in 4Q. If that turns out to be true in 200 plus of SBA originations, do you expect there to be any limitation from the leverage aspect?
Barry Sloane: I would say this. We know we try to pay attention to what the market accept site, I will recall a conversation I think it was three or four years ago with one of our analysts. And I think we're like 0.83 and then the convention was 0.79. And how high would you go? I said 0.99. I said it's not a problem managing it. I would say it's somewhat tongue in cheek.  In other words, I would never want to go that high because the market wouldn't appreciate it. Then one of the reasons why we run higher than most is could then broker receivable and overlaps at the end of each quarter.
Barry Sloane: I think we're very mindful of what the market thinks is risky versus not. Despite the fact that we have a different opinion over managing risks. I mean, we've managed 4 times leverage on our balance sheet before we will BDC and we define, we survived the 08-09 credit crisis.  So I think the answer to your question, we may have a little bit more leverage in Q4. But then again, we may also be able to pay down some of the baby bond debt, so we're swapping one debt instruments for the other.
Paul Johnson: Got it. So it doesn't sound like it should be something that would slow down originations for the quarter, is that right?
Barry Sloane: No. Not at all.
Paul Johnson: Okay. And then lastly, just a broader question. I was wondering if there's anything you can speak to that's in the infrastructure bill or the build back, better plan or any -- I guess any piece of legislation that's been floated out there that you've identified as being beneficial for the SBA lending program? And that's all for me.
Barry Sloane: But one thing that I heard and I only say this because the bill changes every day, what's in it, what's not in it. At one point in time, I understood that at a fairly nominal cost, and I say that also tongue in cheek, I think it was about $1 billion. The build back better had a draft in it that created 90% versus the current 75% subject every year to the budget being approved.  Meaning that the program would, for a 5-year window based upon BBB, build back better is a 90% program for the 7(a) program. In addition, it will also waive certain fees. So you get a higher advance rate, you get higher prices on bonds, which would be favorable. Put it this way, whether it occurs or not, it's indicative of the government favoring small, medium-sized businesses, SBA lending, etc.  And I think that from our perspective, I think that it's a coin flip is to whether -- I put it this way. If PPP gets done I think it's more likely than not that it gets in there, but that's pure speculation on my part. And I couldn't tell you whether the recent ramp has it in there or not or for that matter with the recent draft is.
Paul Johnson: Got it. Appreciate the time.
Barry Sloane: Thank you.
Operator: Thank you. . We have our next question from the line of Adam Morgan with RBC.
Adam Morton: Hey Barry, how are you? Hope all is well. Not really a numbers question here but, just looking down the line as you guys hopefully transition to a bank. Do you see any other opportunities in a bank structure that, would be like lending areas that typically and historically you have not been in, that you could actually branch into when you become a bank. If you become a bank, so you say.
Barry Sloane: I need to be somewhat circumspect about talking about the bank because I'm very limited to what I could say. Although, I do believe that having the ability to diversify lending programs with a lower cost of capital would be overall beneficial. In other words, it will enable us to meet our return on equity guidelines and diversify the risk away from some of the programs that we have today.
Adam Morton: But you can't really comment --
Barry Sloane: I can't comment on whether we would do it or not. First of all, it's not up to me fully, it's up to regulatory authorities. But your suggestion sounds like it makes sense.
Adam Morton: Understood. Okay. All right. Thank you very much.
Barry Sloane: Thank you Adam. Appreciate it. Thank you.
Operator: Thank you. There are no further questions at this time. Mr. Sloane, please continue.
Barry Sloane: I appreciate everyone's attendance and investment in Newtek. We look forward to reporting Q4 and continuing our successful record. Thank you very much.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.